Operator: Welcome to Bed Bath & Beyond’s third quarter of fiscal 2007 results conference call.  All participants are in a listen only mode for the duration of the call.  This call is being recorded.  A rebroadcast of this conference will be available beginning on Thursday, January 2, 2008 at 6:30 pm eastern time through 6:30 pm eastern time on January 5, 2008.  To access the rebroadcast you may dial 888-203-1112 with a passcode ID of 3741772.  Now, at this time I’d like to turn the conference over to Ron Curwin, Senior Vice President of Investor Relations of Bed Bath & Beyond.  Mr. Curwin, please go ahead.
Ronald Curwin: Thank you and good afternoon. Welcome to Bed Bath & Beyond’s third quarter of fiscal 2007 conference call.  Within the past hour we issued a press release announcing Bed Bath & Beyond’s results for the three and nine month periods ending December 1, 2007 and updated guidance for fiscal 2007.  During this call we will review these results and provide some preliminary fiscal 2008 planning assumptions.  Sales and earnings guidance related to fiscal 2008 will be provided during our fourth quarter call on April 9, 2008 at which time our annual budgeting process will have been completed. Before proceeding I will read the following statement and I quote, “Bed Bath & Beyond’s fiscal third quarter press release and comments made during this call may contained forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended.  Many of these forward looking statements can be identified by the use of words such as may, will, expect, anticipate, estimate, assume, continue, project, plan and similar words and phrases.  The company’s actual results and future financial conditions may differ materially from those expressed in any such forward-looking statements as a result of many factors that may be outside of the company’s control.  Please refer to Bed Bath & Beyond’s SEC filings including its Form 10K for the year ending March 3, 2007.  The company does not undertake any obligation to update its forward looking statements.” Warren Eisenberg, Co-Chairman of Bed Bath & Beyond leads off today’s call.  Steven Temaras, Chief Executive Officer and a member of the Board of Directors will follow Warren.  Some additional financial commentary will conclude today’s call.  I’m now very pleased to introduce Warren Eisenberg.
Warren Eisenberg: Good afternoon.  We are pleased to have reported the results of the third quarter in our press release issued about an hour ago.  As Ron will discuss we also provided revised guidance for our fiscal fourth quarter.  In the retail market for home related products our company’s market share continues to expand as we distance ourselves from our direct competitors by most measures including and most importantly profitability.  Our unique decentralized corporate culture continues to produce positive results and we remain highly confident that our business will continue to grow successfully in the years ahead.  Our entire organization is dedicated to providing our customers with the best possible shopping experience. With a highly promotional Christmas selling season now behind us and with the broad challenge that continues to confront the economy we believe that 2008 should prove to be another opportunity for us to further expand our market share.  Regardless of macro economic conditions to which we are obviously not immune we would expect to continue our relative out performance of others in our sector by capitalizing on our unique strengths, investing in our organization and infrastructure to support our long term success and most importantly by providing a superior shopping experience for the customers in each of our retail concepts. During the fiscal third quarter we opened 28 new Bed Bath & Beyond stores, three new Christmas Tree Shops stores and one Harmon face value stores.  As of December 1, 2007 we operated 850 Bed Bath & Beyond stores, 39 Christmas Tree Shop stores and 40 stores under the name Harmon and Harmon Face Value and eight buybuy Baby stores.  We also are pleased that we opened our first international store in Canada in December.  So far this fourth quarter we opened two additional Bed Bath & Beyond stores including our first store in Canada and as of today we’re operating 861 Bed Bath & Beyond stores in 49 states, Puerto  Rico, the District of Columbia and Canada.  Although we anticipate opening as many as 24 additional Bed Bath & Beyond stores prior to our fiscal year end which would bring to 70 the total number of Bed Bath & Beyond fiscal 2007 new store openings as we said in September it is possible that a few of these openings may occur subsequent to year end in March, 2008.  At the current time it appears approximately three to five of the fiscal 2007 stores could potential push to the first few weeks of fiscal 2008.  If this were to occur it would not materially affect our financial performance for fiscal 07 or fiscal 08.  In addition, prior to our fiscal year end we plan to open one buybuy BABY store as well as a new eService fulfillment center to accommodate the growth of our online business.  We are also planning to add one or two more Christmas Tree Shop stores bringing to six or seven the total number of fiscal 2007 Christmas Tree Shop new store openings. Consolidated store space as of December 1, 2007 was approximately 29.5 million square feet which we anticipate growing to approximately 30 million square feet by fiscal year end.  We remain on target to offer in excess of 13,000 domestic Bed Bath & Beyond stores.  In addition we had multiple opportunities to expand, renovate or remodel a significant number of existing stores thereby increasing their productivity. As I said earlier we are very happy to have opened our first international store in Canada in December and we’re also actively engaged in and are seeking additional sites in Canada, a market that we believe has significant growth potential for us.  In addition, we continue to explore other international opportunities. We plan to accelerate the growth of our Christmas Tree Shops and buybuy BABY store concepts as well as open new stores under the names of Harmon and Harmon Face Value and roll out additional Harmon Face Value departments within our Bed Bath & Beyond stores.  The new Christmas Tree Shops’ 700,000 square foot distribution facility expected to become operational in early 2008 will enable us to service the growing number of new Christmas Tree Shops expected to open over the next several years including approximately 12 in fiscal 2009. Although we are aware of the results reported by other operators and the current macro economic environment we feel over the long term that home goods is an extremely attractive retailing sector and we continue to strive to make Bed Bath & Beyond the first choice for enhancing the beauty and convenience of our customer’s homes.  While we enjoy a strong position in our sector our share of the home goods market remains relatively small and we have a great opportunity to improve our absolute and relative position in the market place as the home goods center in the view of many continues to consolidate. Our balance sheet and cash flows are strong as are our organization and our infrastructure.  We are in an excellent position to successfully execute all of our growth initiatives.  We repurchased approximately $929 million of our shares under the $1 billion share repurchase program approved by our board of directors in December 06.  As we said in September we anticipate completing this program by the end of fiscal 07.  We currently have the authorization to repurchase an additional $1 billion which we also plan to fund from the present and future free cash flows.  That said, our company’s board of directors continue to review our capital structure. I would extend our very best wishes for a healthy, happy and prosperous New Year and I’ll turn the call over to Steven Temares.
Steven H. Temares: Good afternoon everyone and thank you for participating in this conference call.  In working to become our customer’s first choice for the products we offer domestically, interactively and internationally we look to continue to distance ourselves from our competitors. As Warren mentioned with a highly promotional Christmas season now behind us and with the broad challenges that continue to confront the economy we believe that 2008 should prove to be another opportunity for us to further expand our market share.  Challenging retail environment such as todays provide an excellent opportunity for strong companies such as ours that have the financial resources to reinvest in their infrastructure to expand their market share over the long term at the expense of weaker competitors.  Although our near term operating results might look good in comparison to those of others we are never satisfied and we continue to work hard to achieve consistently improving results. We continue to be focused on building a successful business for the long term and as you know, for over 35 years we have grown our company as a decentralized organization which has consistently lead to better decision making and better execution.  The benefit of decentralization and the dedication and talents of our associates becomes more evident when business conditions are less than favorable.  Our associates efforts, knowledge and focus on serving our customers has been largely responsible for the superior shopping experience in our stores and our consistent long term performance. As Warren mentioned, we are very happy to have opened our first international store in greater Toronto in December and we are also actively engaged in and are seeking additional sites in Canada a market we believe has significant growth potential for us.  In addition, we continue to explore other international opportunities. We have also made continued progress in repurchasing shares under the $1 billion program authorized in December, 2006.  As of December  1, 2007 approximately $71 million remains under that authorization.  In addition, in September our directors authorized an additional $1 billion share repurchase program.  While retaining financial flexibility and investing in our infrastructure we strive to maintain a capital structure that will enable us to take advantage of opportunities as they arise. Turning to the financial highlights of our fiscal third quarter.  Net earnings per diluted share were approximately $0.52 or approximately $138 million.  This compares with net earnings per diluted share of approximately $0.50 or approximately $142 million earned in last year’s comparable period which included a then year-to-date non cash selling general and administrative charge of approximately $0.02 per diluted share related to the review of stock option grants and procedures and the associated legal and accounting expenses. For the nine months net earnings per diluted share were approximately $1.44 or approximately $390 million compared with approximately $1.36 per diluted share or approximately $388 million earned a year ago.  Net sales for the fiscal third quarter were approximately $1.8 billion about 10.8% higher than in the corresponding quarter a year ago.  Net sales for the third quarter benefited from a calendar shift that resulted in the week after Thanksgiving falling in the third quarter this year compared to falling in the fourth quarter last year.  As you will hear from Ron this calendar shift will also affect the comparability of our fourth quarter results. Comp store sales were up .8%.  As is our practice our comp store sales calculation compares the 13 weeks in the third quarter of 2007 to the same 13 weeks as last year so that the week after Thanksgiving in 2007 was compared to the week after Thanksgiving in 2006.  Our overall comp store sales increase was impacted by lower comp store sales in those areas of the country significantly affected by housing market issues notably Arizona, California, Florida and Nevada. For the first nine months net sales advanced to approximately $5.1 billion about 10.7% higher than in the similar nine month period last year again reflecting the results of a few key markets most affected by certain macro economic factors related to the home comp store sales for the nine months increased by approximately 1.5%. Gross profit for the fiscal third quarter was approximately 41.7% of net sales compared with approximately 43.5% of net sales during the fiscal third quarter 2006.  The approximately 180 basis point decrease in the gross profit margin resulted from a number of factors including an increase in coupon redemptions associated with a heightened promotional environment, an increase in inventory acquisition cost and a shift in mix of merchandise sold as we experience a higher percentage of sales of hard line goods. Selling, general and administrative expenses for the fiscal third quarter were 30.4% of net sales about the sale as a year ago.  The quarter benefited from a relative decrease in payroll and payroll related items primarily due to the anniversarying of last year’s $7.2 million charge related to the review of stock option grants and procedures.  Advertising expenses for the quarter were deleveraged as a result of our increased distribution of advertising pieces in response to a heightened promotional environment. Lower interest income in this year’s third quarter of $5 million versus $10.6 million a year ago is a result of lower cash balances principally due to share repurchases.  The company’s provision for income taxes for the fiscal third quarter was 33.6% versus 35.8% for the prior year’s period.  The provision for income taxes in the current quarter included an approximate $8 million benefit due to a favorable resolution of discreet tax items required to be recorded in the quarter. Over the past 15 years as a public company including the two stores opened since the beginning of our fiscal fourth quarter our company’s store count has grown from 34 stores in nine states doing about $168 million in net sales to expecting to end this year with over 970 stores in 49 states, the District of Columbia, Puerto Rico and Canada with sales expected to approximate $7 billion. In the last five years we have acquired buybuy BABY, Christmas Tree Shops and Harmon stores, entered our first international market and vastly improved our infrastructure putting us in a better position than ever to support our future growth.  Simply put, our organization has never been stronger.  As always we continue to test new merchandise initiatives throughout our stores.  We also continue to open new fine china and Harmon Face Value health and beauty care departments within Bed Bath & Beyond stores and increase our capability to service our bridal and gift registry customers. In addition, we continue our efforts to increase the productivity of existing stores by expanding, remodeling and/or relocating them.  As previously mentioned we anticipate opening 65 to 70 Bed Bath & Beyond stores for fiscal 2007, on additional buybuy BABY store and a new eService fulfillment center to accommodate growth in our online business are expected to open before year end.  We also plan to add one to two more Christmas Tree Shop stores and substantially complete a new state of the art distribution facility which will help support the approximately 12 new Christmas Tree Shop stores opening in 2008 as well as the additional new Christmas Tree Shop stores opening beyond next year. Our capital spending plan for all of fiscal 2007 is currently estimated at $360 million.  We remain committed to investing in projects which we believe will enable us to expand our share of the home furnishing and other markets that we serve.  By taking a long term approach to building the Bed Bath & Beyond, Christmas Tree Shops, buybuy BABY and Harmon Face Value concepts and by making the necessary investments in our infrastructure we expect that all aspects of our business will continue to contribute to the achievement or our goals in the years ahead.  We are extremely well positioned to take advantage of any opportunities that may arise and to respond to any challenges that may lie ahead.  Our entire organization is dedicated to providing the best possible service to our customers and through these efforts to producing exceptional financial results for our shareholders. To recap Bed Bath & Beyond’s fiscal third quarter produced net earnings of approximately $0.52 per diluted share on an approximately 10.8% increase in net sales at a gain in same store sales of .8%.  Through a combination of superior customer service, merchandising initiatives, information technology enhancements and human resources development we expect to continue our profitable growth domestically, interactively and internationally.  Our strong excess cash flow generation should also permit us to make additional share repurchases and to consider growth through strategic acquisitions. We will review our fiscal fourth quarter and full year results and provide additional information regarding fiscal 2008 in our next conference call scheduled for Wednesday,  April 9, 2008.  Ron and Ken Frankel will be in their offices this evening, January 3rd to take your questions.  On behalf of all of us at Bed Bath & Beyond, Christmas Tree Stops, buybuy BABY and Harmon Face Values I join Warren in wishing you all a healthy, peaceful and prosperous new year.  I’ll now turn the call back to Ron.
Ronald Curwin: As we said in September the business environment remains challenging particularly in areas most affected by housing market issues.  Concerns about the economy, consumer spending, energy prices, housing and credit availability in particular persist.  Recall that in last year’s fourth quarter we reported earnings per share of $0.72 per share which included a $0.07 per share non recurring charge.  Excluding this non recurring charge earnings per share for the fourth quarter fiscal 2006 would have been reported at $0.79 per share.  Also affecting the comparability of our fourth quarter 2007 earnings is that last year’s fourth quarter include 14 weeks of sales including the week after Thanksgiving versus this year’s fourth quarter that will have 13 weeks of sales excluding the week after Thanksgiving.  The exclusion of the week after Thanksgiving in this year’s fourth quarter will have a negative impact on net sales of approximately $175 million when compared to the fourth quarter of last year. Assuming a relatively flat comp stores sales percentage for the fiscal fourth quarter and concerting one less week of sales a year ago resulting from the current year calendar shift we anticipate a 2 to 4% percentage decrease in net sales and we would now estimate fourth quarter earnings in the range of from $0.64 to $0.67 per diluted share which would bring the full year’s earnings estimate in the range of from $2.08 to $2.11 per diluted share. Other fiscal fourth quarter planning assumptions some of which have been previously mentioned are as follows:  one, we expect to be operating approximately 880 to 885 Bed Bath & Beyond stores, 40 Christmas Tree Shops, 40 stores under the names Harmon and Harmon Face Value stores and nine buybuy BABY stores occupying approximately 30 million square feet of floor space at year end.  Most of the fiscal fourth quarter new store openings are expected to occur in February 2008 in the last month of our fiscal year.  The new Christmas Tree Shop’s new distribution center and an additional eService fulfillment center which will accommodate the steady growth in our online business are also expected to be substantially completed before our fiscal year end.  Two, we are currently estimating our full year tax rate to be approximately 35.7% as compared to last year’s rate of 26.3%.  Three, primarily as a result of lower cash balances due to our ongoing share repurchase program and also due to lower interest rates, the acquisition of buybuy BABY and an increase in capital spending among other factors interest income for all of fiscal 2007 is expected to be lower than last year at approximately $27 million. Four, capital expenditures for all of fiscal 2007 principally for new stores, existing stores refurbishment, information technology enhancement, the new Christmas Tree Shop’s new distribution center, the new eService fulfillment center and other infrastructure investments are presently being estimated at $360; depreciation at approximately $160 million.  Five, year end inventory per square foot is projected to be higher than last year reflecting the initialization of the Christmas Tree Shop’s distribution facility and the eService fulfillment center.  Inventories were in a good position at the end of the fiscal third quarter and we expect to end fiscal 2007 with inventories on plan and in good condition going into the spring selling season. As previously mentioned we will be providing our initial sales and earnings guidance for fiscal 2008 a 52 week year beginning on March 2, 2008 ending on February 28, 2009 during our fourth quarter call.  The following are some of the planning assumptions that will support our guidance in April:  one, approximately 60 new Bed Bath & Beyond stores including additional stores in Canada are expected to be opened while several other Bed Bath & Beyond stores will be relocated and refurbished in fiscal 2008 in order to improve their productivity.  We also expect to open 12 new Christmas Tree Shop stores and several new buybuy BABY stores as well as open Harmon Face Value stores and roll out additional Harmon Face Value’s and fine china departments within Bed Bath & Beyond stores.  Two, our expansion will continue to be entirely funded from internally generated sources.  Three, we expect to commence our $1 billion share repurchase program as authorized in September by our board of directors.  Four, including the effect from a lower cash balance principally due to share repurchases already completed and anticipated lower interest rates interest income is expected to be lower in fiscal 2007.  Five, we expect continuing variability in our quarter tax rate.  Six, although the aggregate number of new store openings and store relocations for all of our retail concepts will be roughly comparable to fiscal 2007 we anticipate capital expenditures will be lower than in fiscal 2007.  Included in this reduction will be lower capital expenditures related to distribution and online fulfillment facility. Before concluding this afternoon’s call a few additional comments relative to our fiscal third quarter:  one, our consolidated balance sheet as of December 1, 2007 was strong and flexible reflecting among other factors the additional share repurchases and increased capital expenditures as well as the all cash acquisition of buybuy BABY.  The combined total cash and cash equivalents and investment securities was approximately $377 million.  Two, as of December 1, 2007 consolidated merchandise inventories were on plan at approximately $1.8 billion. Inventories continue to be tailored by store to meet the anticipated demands of our customers and are in a good position.  Three, shareholders equity at December 1, 2007 which is net of share repurchases was approximately $2.5 billion.  Four, capital expenditures for the first nine months were approximately $257 million.  Depreciation was approximately $116 million. As Warren and Steven said we are looking forward to fiscal 2008 and expect that our share of the home furnishing market will continue to grow through the contribution and expansion of all aspects of our business.  As a reminder our next conference call to review our fiscal fourth quarter and full year results will be on Wednesday, April 9, 2008.  We will also at that time update our fiscal 2008 guidance. If you have any questions Ken and I will be in our offices this evening, January 3rd to take your calls.  As always we very much appreciate your interest in Bed Bath & Beyond.  Have a healthy and happy New Year.
Operator: Ladies and gentlemen this concludes today’s conference call.  Thank you all for listening.  You may now disconnect.